Operator: Good day and thank you for standing by. Welcome to the Fourth Quarter 2023 Sonoco's Earnings Conference Call. At this time, all participants are in a listen only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Lisa Weeks, Vice President of Investor Relations. Please go ahead.
Lisa Weeks: Thank you, operator and thanks to everyone for joining us today for Sonoco's fourth quarter and full year 2023 earnings call. Joining me this morning are Howard Coker, President and CEO; Rob Dillard, Chief Financial Officer; and Rodger Fuller, Chief Operating Officer. Last evening, we issued a news release highlighting our financial performance for the fourth quarter and full year, and we prepared a presentation that we will reference during this call. The press release and presentation are available online under the Investor Relations section of our website. As a reminder, during today's call, we will discuss a number of forward-looking statements based on current expectations, estimates, and projections. These statements are not guarantees of future performance and are subject to certain risks and uncertainties. Therefore, actual results may differ materially. Please take a moment to review the forward-looking statements on Page 2 of the presentation. Additionally, today's presentation includes the use of non-GAAP financial measures, which management believes provides useful information to investors about the company's financial condition and results of operations. Further information about the company's use of non-GAAP financial measures, including definitions as well as reconciliations to GAAP measures is available under the Investor Relations section of our website. For today's call, we will have prepared remarks regarding our results for the quarter and 2023 and outlook for the first quarter and full year 2024, followed by a Q&A session. If you will turn to Slide 4 in our presentation, I will now turn the call over to our CEO, Howard Coker.
Howard Coker: Thank you, Lisa and thanks to all of you for joining our call this morning to review our 2023 results and 2024 outlook. In 2023, we continue to make progress on strategic initiatives and delivered solid results in what was a pretty difficult year from a volume perspective. Despite these lower volumes, we delivered strong EBITDA margins of 15.7%, which is somewhat similar to last year. Our strong margins were the result of record performances in our consumer rigid paper cans and flexibles businesses. On the industrial side, despite volume level similar to 2008, our team delivered record profit margins through diligent cost management throughout the paper ecosystem. Our adjusted earnings of $5.26 were within our guidance range for the year and with intentional focus on working capital, we generated record operating cash flow of $883 million and free cash flow of $600 million for the year. We also returned capital to shareholders and increased our annual dividend for the 40th straight year. We completed acquisitions and divestitures according to plans and our teams did not skip a beat on executing initiatives to further strengthen our foundation. I want to close 2023 by thanking this incredible team of Sonoco for the resiliency and dedication throughout the year. Certainly, the global economic and external factors did not make this an easy year at all, but we did not stand still and we delivered the second best annual financial performance in the company's 125-year history. I'm grateful to work alongside these great people of Sonoco, as well as our customers and supplier partners and we continue to look to the future with optimism. And with that, I'm going to turn the call over to Rob to cover our financial results and outlook. Rob?
Rob Dillard: Thanks, Howard. I'm pleased to present the fourth quarter and full year 2023 financial results, starting on page six of this presentation. Please note that all results are on an adjusted basis and all growth metrics are on a year-over-year basis unless otherwise stated. The GAAP to non-GAAP EPS reconciliation is in the appendix of this presentation, as well as in the press release. As Howard said, 2023 was a record year for Sonoco. In 2023, we achieved the second best financial results in the company's 125-year history in key metrics such as net sales, adjusted EBITDA and adjusted EPS. By many measures, this was our best year ever. We achieved record operating cash flow, record free cash flow, record productivity and we invested a record amount to drive future growth and profitability. We've built a foundation for continued strong financial performance, building on our enduring operating model, strong market positions, investment-grade balance sheet and our differentiated dividend. We're excited about the future and feel good that 2023 was a year to solidify our improvement since 2021. Full year 2023 net sales decreased to $6.78 billion, due to the volumes that comes from destocking and consumer and an elongated cycle in industrial. While these factors impacted year-over-year results, we grew net sales at a 10% compounded annual growth rate since 2021, due to strategic pricing, new product wins and acquisitions. Adjusted EBITDA grew $297 million from $770 million in 2021 to $1.067 billion in 2023. Over $150 million of this increase was organic improvement due to strategic pricing and productivity. Adjusted EBITDA margin was 15.7% in 2023, a 190 basis point increase from 2021. We achieved strong profitability due to price cost in 2022 and retain this profitability in 2023 due to record productivity of $109 million. We are operating with agility and continue to match cost controls with productivity investments. 2023 GAAP EPS was $4.80 and adjusted EPS was $5.26, which was within our guidance range of $5.25 to $5.40. On page 7, we have our results for Q4 2023. Net sales decreased 2% to $1.64 billion. Volumes were lower 3.4% due to low single-digit volume declines in both consumer and industrial and price was negative 2.3% due to negative index-based pricing. Adjusted operating profit decreased to $167 million, adjusted EBITDA decreased to $236 million and adjusted EBITDA margin was 14.4%, a 20 basis point decrease from 2022. Q4 was an incredibly strong quarter operationally. We managed variable demand and generated record productivity of $49 million. This translated into a 180 basis point increase in gross profit margin. These operating profit results were offset by SG&A items that we consider infrequent in their magnitude, including higher employee expenses, health care and accounts receivable reserves. GAAP EPS was $0.82 and adjusted EPS was $1.02 within our guidance range of $1.01 to $1.16. Tax was a $0.06 drag on the quarter as the tax rate increased to 25.7% due to actions to repatriate cash. It's notable that without the specific higher SG&A items and tax items, we would have achieved at least the midpoint of guidance. Page 8 has our sales and operating profit bridges for the quarter. Net sales declined to $1.64 billion due to negative volume mix and negative price Volume mix was negative $20 million in the quarter as consumer continues to be impacted by inflationary pricing at retail and industrial continues to reach a cyclical low. Price was negative $39 million. We continue to achieve strong results from our strategic pricing program. Negative price was a result of deflation in index-based prices in resin, metal and paper-based businesses. Next on this page we have the adjusted operating profit bridge. Adjusted operating profit was driven by negative volume mix and negative price cost with strong productivity benefiting results. Volume mix was negative $10 million, price/cost was negative $14 million as positive price cost in consumer and all other was offset by negative price cost in industrial. Productivity was positive $49 million as we achieved positive manufacturing productivity due to our lean programs and positive fixed cost productivity due to continued efforts to reduce our plant footprint and optimize supply chains. Other was negative $42 million due to employee expenses, healthcare and accounts receivable reserves. These expenses are not expected to repeat in this magnitude. Page 9 has our segment results for the quarter. Consumer sales decreased 3% to $856 million. Consumer volumes decreased low single digits due to customer inventory management and the impact of inflationary pricing. Many consumer customers are beginning to return to historical pricing practices, including discounting. However, volumes have been slow to return to typical patterns. Rigid Paper Containers sales declined low single digits due to mid single-digit volume declines offsetting positive price. Flexible sales were flat as new customer gains offset low legacy customer volumes, Metal Packaging sales decreased mid-single digits due to low single-digit volume declines and negative index-based price actions. Demand from our core customers in Metal Packaging has strengthened, but overall demand declined due to anticipated template-based price reductions in 2024. Consumer operating profit decreased to $83 million as $23 million of productivity and $17 million of price cost was offset by volume mix and SG&A, a meaningful component, of which we do not expect to repeat in this magnitude. Consumer operating profit margin was flat at 9.7%. Industrial sales decreased less than 1% to $593 million. Industrial volumes decreased low single digits due to lower demand in most key markets and geographies. Industrial prices decreased mid-single digits due to index based pricing actions. We continue to achieve strategic pricing, but were impacted by declining paper indices and increasing OCC. OCC increased to $92 per ton from $38 per ton in 2022. Industrial operating profit decreased to $62 million, due to $36 million of negative price cost offsetting $20 million of productivity. Industrial operating profit margin remained at a historically strong 10.4%. We're protecting margins with strategic pricing and with cost actions to reduce fixed costs. The business is well-positioned to benefit from a return to normalized volumes. All other sales decreased 7% to $187 million due to broad volume declines, while other operating profit increased to $22 million due to strong productivity and positive price cost. Moving to Page 10. Our capital allocation framework aligns with our business strategy to drive value creation through earnings growth and improved margins. In the fourth quarter we generated operating cash flow of $267 million. We invested $108 million of this cash and capital expenditures to fund our growth initiatives and improve margins. Results from these investments are translating into improved productivity and growth with new customers and new products. Further, we remain focused on increasing the dividend, which are present at $0.51 per share on a quarterly basis or a 3.5% annualized yield based on our current share price. Next, we paid off $172 million of debt in the quarter and reduced our net debt to adjusted EBITDA to 2.8x. We'll continue to be disciplined and improve our liquidity and access to capital. This is key to our strategy as we continue to have a proactive M&A strategy focused on executing the right deals based on strategic fit, scalability, financial profile and cultural fit. We're being disciplined in a disrupted M&A market and we'll do the right acquisitions and divestitures at the right time for us. Page 11 has our guidance for Q1 and full year 2024. Guidance for 2024 adjusted EPS is $5.10 to $5.40. This guidance is based on low single-digit volume growth, consumer volumes are expected to grow low single-digits, while industrial volumes are expected to experience only limited recovery. Price cost is expected to be meaningfully negative due to contractual resets in consumer and the impact of timing and pricing lives on industrial. Another meaningful input to guidance is a $32 million increase in depreciation. We expect to grow adjusted EBITDA in 2024, and are guiding to a range of $1.05 billion to $1.1 billion. Operating cash flow guidance is $650 million to $750 million, working capital is expected to be a $100 million to $150 million use of funds, as we invest in inventory and receivables to assess supply chains and enable volume growth. Guidance for our capital expenditures is $350 million. We have increased the proportion of capital expenditures focused on long-term growth and profitability projects. This investment is expected to drive record productivity in 2024 and beyond. Guidance for Q1 2024 adjusted EPS was $1.05 to $1.15. We're expecting modestly negative volume in consumer, as our customers remain cautious. Consumer price cost is expected to be negative due to contract pricing resets. Industrial volumes are not expected to improve in Q1. Industrial price trends are improving, but price cost is expected to be meaningfully negative on a year-over-year basis, due to last year's low OCC comparative and last year's higher tan bending chip comparative. Now, Roger will further discuss the outlook for the business.
Rodger Fuller: Hi. Thanks, Rob. If you please turn to Slide 12 for our view of segment performance drivers in 2024. Let me start with our first quarter outlook. In the Consumer segment, we expect volume to be up sequentially over the fourth quarter, but basically flat year-over-year from continued lower consumer spending due to retail price inflation. In rigid paper containers, we see volumes slightly down in North America versus a strong start last year, flat in Europe and some nice year-over-year sales growth in the rest of the world from new product launches and our expanded capacity in South America and Asia. Organic flexible volumes are projected to be flat to down slightly due to continued softness in our base soft baked goods and confection business, but aided in the first quarter from the benefit of the Inapel acquisition in Brazil. In our Metalpack business, we did see a recovery of our steel aerosol business in the fourth quarter, offset by some softness in food. In the first quarter of 2023, we expect low- to mid single-digit increases in both food and aerosol bottle cans. In the Industrial segment, volumes are up sequentially from last quarter, but down low single digits year-over-year with weakness primarily in Europe and Asia, as many of our end markets are tied to consumer staple and durable spending and inflationary factors that have slowed spending. We do expect higher paper mill utilization in the first quarter in our global paper system driven primarily in North America. During the first quarter, there will be an outsized impact from negative price cost as input costs continue to rise and the timing of pricing updates lag. We expect the impact of negative price cost to improve over Q1 levels as we move throughout the year. Productivity remains strong as our team is effectively managing costs throughout our renewal and converting systems. In the All Other segment, volumes continue to remain soft with price cost offsetting some impact of the lower volumes. Now, turning to the full year 2024 guidance. We expect consumer volumes to be up low single digits and productivity remains strong. We're anticipating relatively stable material pricing and supply chain performance, but do expect consumer price cost for the year to be negative from contractual pricing resets, somewhat offset by productivity. In industrial, we're not projecting volume recovery in the first half of the year. We also expect price cost to remain negative from index-based pricing and higher input costs, which will be weighted to the first half of the year. As you know, we've announced price increases in North America on both URB paper and converted products effective February 1, and these increases are progressing well. The team continues to do an excellent job of expense management and we expect productivity and manufacturing efficiencies will offset negative volume impacts. And lastly, in all other, we anticipate fairly stable demand across the businesses and good productivity to continue throughout the year. So overall, we remain, I believe, appropriately conservative on volume recovery across the segments with good productivity and cost control in place until we see volume recover. With that, back to you, Howard.
Howard Coker: Great. Thanks, Roger. As I stated in my opening remarks, we are not standing still as we progress a robust set of plans and initiatives across the enterprise. And I thought, I'd just share a few of those with you. First, on the divestiture and closure front, we continue to execute our portfolio transition and footprint optimization activities. Last week we announced the closure of our Sumner, Washington URB paper mill. This was the oldest mill in Sonoco's North American network and the cost to recapitalize was just simply not feasible. We're moving tons to lower-cost mills in the network. We've owned Sumner for over 40 years and extremely grateful for the support of this team through these years. We also announced the expected sale of our Protective Solutions business from our all other category or segment, which should close in the first half of 2024. This has been a great business for Sonoco with great leadership team. We know their knowledge and skills will serve them well into the future. As we continue our portfolio resolution, we remain laser focused on simplification and the alignment and fit to what businesses remain in our core. Secondly, we're pleased to announce that we were recognized by Kellanova for designing, manufacturing and commercializing a paper bottom end for our rigid paper cans with Pringles to achieve sustainable and recyclable initiatives in Europe. This was a multiyear and a true partnership effort. We're pleased with the acceptance of our innovative package design in the marketplace, and we look forward to sharing more about this next week at our Investor Day. In December, we're also pleased to announce the acquisition of Inapel, one of the leading flexible packaging company space in Brazil. This is a strategic move to expand capacity for growing demand that we are feeling in Brazil where Sonoco is now the number two in this market. We welcome the Inapel team and know that our aligned culture, values and technical capabilities make this a winning combination. We've also taken steps this year to further align our flexible and thermoforming businesses into one larger scaled platform. We will be providing more details on this next step in our portfolio next week. In summary, I'd just like to leave you that Sonoco continued steady performance across our businesses. We wish volumes were better, but we are well-positioned and ready to take advantage of incremental demand upticks across the portfolio. Now if you'll turn to slide 15, I will wrap things up by saying we are looking forward to our Investor Day one week from today in New York in February -- what is the date of the Investor Day? February 22, the next week. During this meeting we will provide updates on our transformation operations or business unit plans and share thoughts on our longer-term financial outlook. We look forward to hosting you live or virtually next week. So at this time I'm more than happy -- we are more than happy to answer any questions that you may have. I'll turn it back over to the operator.
Operator: [Operator Instructions] And our first question comes from George Staphos with Bank of America Securities. Your line is open. 
George Staphos: Hi. Thanks very much. Good morning, everybody. Thanks for the detail. I'll ask three questions. First question related to guidance. Can you talk through what is baked in for price/cost for the year recognizing there are no guarantees in life? And how much of the URB and converted product increases in industrial are baked into that guidance? Relatedly, what is the effect of the divestiture of Protective Solutions within All Other relative to your guidance? And then last for me Howard, one -- I know you're going to talk more about it next week but why the integration of flexibles with thermoforming recognizing they're plastic-based they are somewhat different business processes. And what should we have baked in for productivity from that and broadly for the year? Thank you.
Howard Coker: Right. Thanks, George. I'll turn over the more financial related to Rob. Yes, we'll talk in more detail next week about the combination. And I think you'll see the rationale and why we view this as an obvious combine of the two – you just at a very high level I can just say that synergistically, it makes a lot of sense. And then if you look at the markets that we serve and the customers we share and there's more beyond that. So I'm going to leave that where it is and we'll get into that with next week. Rob, do you want to talk about price cost and...
Rob Dillard: Yes George. That's a good question because price cost is going to be a meaningful driver for profitability – a meaningful factor for profitability in 2024. I'd say in Q1, we're anticipating that number to be between $0.50 and $0.55 of drag. We've said previously that Industrial was going to have $35 million of price cost in Q1 and we're expecting to see that. To your point on URB and price recovery there, we have continued to see OCC increase Tan Bending Chip is kind of held constant we're feeling really good about how that price is translating through the market but that's something that actually takes a fair amount of time to really translate through to the P&L. So there's a bit of a drag there. Overall, we do think that industrial price cost will continue to be negative going into the second quarter and we're hopeful for some opportunity in the second half of the year.
George Staphos: Okay. And then just – protective?
Rob Dillard: Yes. So Protective, we haven't closed the deal. We're expecting to close. We have a great counterparty there. We feel really good about that transaction on a gross basis. That divestiture would be $0.10 dilutive to EPS on a full year basis. So we are expecting to close that by the end of Q1 and have some visibility to that and it's not in the $525 million of guidance.
George Staphos: Okay. And the productivity for the year?
Rob Dillard: Productivity of the year. We had a great year this year. Obviously, we continue to invest behind that we see. We've got a better path forward this year than we did last year I would say. So we're expecting to have another record year.
George Staphos: Thank you very much.
Operator: Our next question comes from the line of Anthony Pettinari with Citi. Your line is open.
Anthony Pettinari: Good morning.
Rob Dillard: Good morning.
Anthony Pettinari: Good morning. You're expecting consumer volume growth in I think the mid-single-digit to high single-digit range quarter-over-quarter in 1Q. And I'm just wondering is it possible to maybe parse that out between – and does that just reflect sort of typical seasonality? Or is there some end market demand improvement or deterioration or any destocking or anything just wondering if you can kind of parse that out between those drivers.
Rodger Fuller: No, Anthony, it's Rodger. Consumer for the first quarter is basically flat year-over-year. So you've got slightly down in rigid paper containers versus a strong start last year in North America, basically flat to slightly negative flexibles. And again, as our base business, cookies, confectionery being soft, offset by some of the Brazil acquisition. Metal cans is actually projected to be up low to mid-single digits and we started in that way. And in plastics, up slightly. So you put it all together, Anthony is basically a flat volume for the first quarter. For the year, we do see that low single-digit growth for the year. And that's just recovery in some of our base business with some share that we've gained in flexibles some new products and flexibles and a good result. We're very hopeful on this combination between flexibles and thermal forming. So first quarter flat, mid-single digit -- mid to low single digits for the year with some recovery in our base business.
Howard Coker: Yeah. And I said we're also cautiously optimistic as we see our customers starting to market more, you're seeing more discounting actions. So the expectation is that through the course of the year, we'll start seeing some improvements as Rodger just said.
Anthony Pettinari: Okay. That's very helpful. And then in Metal Pack, I'm sorry if I missed this, but would you expect full year volumes to be flattish or maybe slightly up or slightly down. And then I'm just curious on aerosol, another packager has discussed aerosol potentially being under some pressure due to cost and ESG concerns. I'm wondering if you're seeing anything similar to that. And then just broadly if I think about the composition of Metal Pack between food cans, aerosol and maybe closures. How that business has changed or if you've kind of shifted the mix around since you acquired it?
Howard Coker: Yeah. No, of course, long shelf life destocking has carried a little bit further than you normally would expect against our portfolio. What we're seeing right now and we're expecting and what we're hearing from our customers and how the year started, we're actually looking at a net being up year-over-year call it low to mid-single digits. Aerosol in particular is actually on the favorable side of that. If you look at the fourth quarter alone, year-over-year aerosols were actually up mid to low single digits and food was slightly down. So pretty pleased with what we're seeing in terms of recovery from a volume perspective with a pretty weak, very weak start to last year. But very, very understandable. Again considering the long shelf life associated with these products. So pretty bullish about volume recoveries as we start the year as we finish out January and as we look into next year and as we finished last year in the fourth quarter.
Anthony Pettinari: Okay. That's very helpful. I’ll turn it over.
Operator: Our next question comes from the line of Ghansham Panjabi with Baird. Your line is open.
Ghansham Panjabi: Thanks. Good morning, everybody. I guess going back to the Industrial segment, looking at the margins in the fourth quarter. This was the first quarter of year-over-year margin decline since the first quarter 2021. Just curious to your thoughts on the evolution from here and I know there's a lot going on with OCC and just the index-based pricing pass-through, et cetera. I would just love to hear your thoughts as it relates to 2024?
Rodger Fuller: Ghansham this is Roger. As we look at the margins for the first quarter industry, looks basically flat to the fourth quarter. We are seeing -- as we've already said this will be our largest impact, negative impact on price cost, but we are also seeing recovery in our paper meal system primarily in North America. Our global URB system ran about 87% capacity in Q4. But our North American URB capacity was close to 92% in Q4, and we expect that to move up into the mid-90s in Q1 with increased demand, as well as the move we made on the Sumner mill. So we expect, yes, negative price cost, but we also expect better productivity through capacity utilization and our biggest part of our URB system, which is north of there.
Howard Coker : And I would add that I think the acceptance of the price increase effective mid-quarter, mid-first quarter has been positive.
Rodger Fuller : Yes. I think as you know we're about 60% weighted to the resi tan bending index about 20% related to OCC and 20% open market. So, obviously, we're going off to the open market now. But as Rob mentioned, the 60% weighted to tan bending will impact more the second quarter than the first.
Ghansham Panjabi : Okay. That's helpful. And then back to the consumer business just volume weakness being persistent over the last several quarters. It's not just you. It's a peer group in terms of destocking, et cetera, that's impacted the supply chain. Can you just sort of characterize the competitive backdrop, as we kind of progress through this lower for longer sort of volume weakness paradigm and you have a bunch of different businesses within consumer? And I just would love to hear your thoughts as it relates to just the competitive backdrop in context of an industry that's typically very competitive anyway?
Howard Coker : Yes. I mean we feel really good. I mean, from a share position perspective, I'm not aware of any material share loss. So, in fact, I've probably got a longer list of share gains. They're just not overcoming the overall segment, consumer segment situation and demand profile. Frankly, if you -- as we talk about volumes and it's across all our businesses through the year, and then you flip over and look at the productivity performance, and I thought about this before, we've invested extremely heavily in all our businesses in the core and are continuing to see our productivity increase. And as volumes do recovery and leverage starts really materializing or normalizing within our facilities. I'm pretty bullish about how we can convert that into even higher productivity than we've been seeing thus far. But no from a share position, we're in good shape from a share position as far as I'm concerned.
Ghansham Panjabi : Thank you.
Operator: Our next question comes from the line of Gabe Hajde with Wells Fargo. Your line is open.
Gabe Hajde : Howard, Roger, good morning. I wanted to revisit the integration that George initially asked about of flexibles with thermal forming. And just bigger, I guess, picture context around you guys, I think, you've talked about trying to build a franchise position in rigid metal packaging. And curious if this move changes that perspective. You guys have talked about the sustainability attributes of origin metal packaging? And then maybe if anything changes from your perspective? And is there further risk your outlook especially in the tinplate business given the announcement this morning from Cliff to Idle a facility here in North America.
Howard Coker : Yes. Again, we'll get into this in more detail, and I think, it will be a lot more obvious to all of you next week of why it makes sense to combine these under one leadership team. And as we look at -- so look, we do think to open up the aperture in terms of acquisition opportunities within that side of the business, but it doesn't take away from many of the other core businesses at all. It just makes -- and you'll see that next week makes good solid sense. The Cleveland that not really a big surprise as related to the mill not a material impact to us at all from a supply position. And that's really all I can say to that. We don't view that as an impact to us in any way. this year or in future years going forward depending on how long they do and tend to keep that mill down.
Gabe Hajde: Okay. And then the recovery in consumer we're reading about cocoa hitting new highs in terms of commodity costs. How has the recent dialogue going with your customers in terms of expectations there? I mean we're reading articles about smaller chocolate bars and things like that. I'm just curious if that's baked into your outlook?
Rodger Fuller: Yes, I think as we said in my opening comments, I think we're being fairly conservative action on volume. Our customers are planning to react to the new weight loss drugs. They're planning for so far they say they see no impact on that. Really it goes -- in my view it goes back to the pricing on the shelf. And Howard mentioned it earlier, there's a lot of pressure from the big retailers now on our customers to start to bring their prices down. You're starting to see more promotions. A lot of these baked goods snacks, confection, or discretionary items and they had a price point where it's really impacted their volume. So, what we're hearing from our customers is they're going to be more aggressive on promotions and more aggressive on regaining some of the volume that's been lost over the last year. So, that's what we're depending on along with the good job our team does on new products and like the paper bottom for the Pringles can for Kellanova and the global expansion on those packages have been fantastic. That's why we're more confident about our recovery in consumer volumes as we go throughout the year.
Gabe Hajde: Okay. Thank you. And one last one I apologize just for posterity sake. The divestiture that you all announced if I heard you correctly assuming it closes at the end of Q1. It's maybe a $0.07 $0.08 drag to the midpoint of your guidance. Is that what I'm hearing? And then on URB and downstream-related products price increases, are you assuming or embedding in your outlook today that the 20% of the open market there's price realization there and then we'll wait to see this Friday what's recognized by RISI, maybe specifically what's embedded in the Q1 outlook or H1 outlook? Thank you.
Rob Dillard: Gabe yes. So, we are -- we there we expect the sale of [indiscernible] to close at the end of Q1. And if it does then that will be a $0.07 drag on the year we anticipate. For industrial pricing, we're seeing that flow through. Certainly the trade market sales Howard and Rodger have said is flowing through well. That's a component of our current guide.
Gabe Hajde: Thank you.
Rob Dillard: Thanks.
Operator: [Operator Instructions] And our next question comes from Mark Weintraub with Seaport Research Partners. Your line is open.
Mark Weintraub: Maybe kind of first more housekeeping. What did the metal over [Technical Difficulty] embedder for 2024?
Rob Dillard: We lost you for a second there Mark, but I'm assuming you're asking about metal price overlap. For the year, it will be slightly less than what it was last year. So, it's actually a slight positive on a year-over-year basis. In Q1, because of the timing, it's going to be net neutral.
Mark Weintraub: Okay. Great. Hopefully you can hear me now. Do you -- so what did it end up being in 2023?
Rob Dillard: Yes. So last year, it was $41 million negative. This year, we anticipate just the Q1 component of that to repeat.
Mark Weintraub: Okay. And can you quantify that for us?
Robert Dillard: Sure. It was between $20 million and $25 million.
Mark Weintraub: Okay. Super. And then on URB, I think you mentioned that you expect to be in the mid-90s post the actions you've been taking in North America and demand getting a little bit better. Where are you now in terms of integration in URB in North America? Maybe we start with that?
Rodger Fuller: Are you talking about integrated? Yes, integrated volume, we're in the -- we're about 55%, 56% integrated volume now, Mark with the RTS acquisition.
Operator: [Operator Instructions] And I'm showing no further questions at this time. I would now like to turn the conference back to Lisa Weeks for closing remarks.
Lisa Weeks: Thank you all for joining us today. If you have any follow-ups, we'll be around after the call to answer your questions or contact me to schedule a follow-up. As Howard stated, we look forward to hosting you at our Investor and Analyst Day in New York next week on February 22. This will be an in-person event and a webcast will also be available. Registration details are on our website. We also look forward to seeing you on the road at our planned conferences and events in the coming months and we'll talk to you again in May when we report our first quarter results. Thanks to everyone and have a great day.
Operator: And this concludes today's conference call. Thank you all for participating. You may now disconnect.